Christoffer Stromback: Good morning, and welcome to this presentation of Castellum's Q2 report. My name is Christoffer Stromback, Head of Investor Relations. There will be a Q&A session in the end of the webcast. [Operator Instructions] Let's start. Please go ahead, Joacim.
Joacim Sjoberg: Thank you, Christoffer. And I say also, good morning, and welcome to this presentation of Castellum's Q2 results. In June, we announced our first larger acquisition for quite some time. We got the opportunity to acquire a high-quality portfolio of assets in Uppsala, Örebro and Linköping with a total property value of approximately SEK 1.7 billion. We will look into this acquisition in more detail later on in the presentation, of course. In addition to the acquisition, we have continued to invest in our existing properties and have started a few more projects as well as continue to increase our stake in Entra. We have a strong financial position and have capacity to continue to invest in attractive opportunities. During the quarter, we have refinanced bank loans of SEK 10 billion continuing to increase our debt maturity and at the same time, achieving the cost reduction through lower credit margins. On Friday this week, 18th of July, we will hold an extra general meeting of shareholders in Stockholm, where our shareholders will decide upon a new Board of Directors. As usual, we have this short overview for those of you that do not know us that well. We're one of the largest listed property companies in the Nordic region with a property value of approximately SEK 159 billion including our share in associated companies, which are Entra and Halvorsang. The focus on -- we focus on 3 segments, office, which is our largest segment, logistics, which include warehouses and light industry and public sector properties. The property portfolio is located in attractive growth regions in the Nordics, and we have a yearly contract value of approximately SEK 9.5 billion. Castellum is a fully integrated company with local hands-on presence where our assets are located. In all of our markets, we have boots on the ground and customer activities such as leasing, tenant improvement, relationships, et cetera, are all done locally. As can be seen from this slide, our property portfolio is located in Nordic growth regions, 74% is located in Nordic metropolitan areas. That means urban areas with at least 1 million people, and the remaining 26% is in growing regional cities in Sweden. The largest market measured by property value is Stockholm, followed by Gothenburg and Malmo. In addition, we have a decent portfolio in Copenhagen and Helsinki as well as well positioned and profitable portfolios in a number of Swedish regional cities. These regional markets have proven strong resilience and even rental growth during the last times downturn. We have a solid market position in our regional markets where we are #1, 2 or 3 in each of them. That makes us relevant for tenants and the city's councils. This is our fully owned and consolidated portfolio. And as mentioned, we have also a 37% stake in Norwegian Entra and our share of Entra's portfolio is approximately NOK 23 billion in value. Turning over to the most important part of our business, our tenants. The tenants represent the cross-section of Nordic business and authorities, and our exposure to individual tenants is low. Our 10 largest tenants represent less than 15% of our total contract value and no tenant generate more than 2.8%. We have a strong tenant base with many of our larger tenants being publicly funded operations. 26% of Castellum total contract value stems from public sector tenants. The largest tenant is the Swedish Police Authority with a contract value of 2.8% of our total. The remaining average length of our contract is 3.6 years. I, first like to apologize for a slide full of text, but we wanted to give you a short update on certain larger tenants that has caused some media attention. First, we have ABB. It's an important tenant to us investor. It was 2 years ago, they announced that they will build a new campus for their robotics business that is industrial areas. We have, during the quarter, prolonged just the robotics rental agreement to the end of 2027 and to mid-2028. But ABB has also given us a waiver of possession protection. The yearly rent for that part of the contract stock is approximately 0.6% of our turnover. Then AFRY, unfortunately, they have announced that they will be moving to another property. The yearly rent for that is less than 1% of our turnover, and the contract ends in last of September 2028. So it gives us plenty of time to work on that vacancy. And finally, in Northvolt. As you know, the bankruptcy hurt our net leasing in Q1. For clarity, we reported 100% as negative net leasing in Q1 but we have been paid for part of the premises also for Q2. More importantly, we are optimistic about finding customers for the premises and one way it could be sold if the bankruptcy administrator finds a buyer for the entire Northvolt operation. So summarizing the first half year results compared to the last -- to the same period last year is negatively affected by the fact that we have sold standing and yielding assets during last year, as well as being hurt by higher vacancies. In addition, income from property management is negatively affected by slightly higher financial costs. We will look into these figures in more detail in the presentation. The net leasing for the quarter -- for the second quarter of this year is plus SEK 2 million after a first quarter with a disappointing net leasing figure. So for the whole period this year is minus SEK 182 million, as stated in the report. The occupancy rate stands at 90.3%. Our net investments of SEK 2.8 billion back on track. And we will, of course, continue to generate income from those investments going forward. The acquisition of SEK 1.7 billion was finalized in the last of June. And hence, it will start to contribute the next quarter. Short term, the timing of our asset rotation has been punishing our income growth. But long term, we are convinced that this asset rotation into more high-quality properties will be very positive for Castellum. Just a quick overfly over the P&L. As mentioned, total income decreases and divestments has infected income negatively, good cost control with the reduced property cost. We got a good contribution from Entra this quarter, up more than SEK 1 billion compared to last year. And summing up the report, we have probably income of minus 8.7%. Jens will cover all this in greater detail. Over to you, Jens.
Jens Andersson: Good morning, everyone, and thanks, Joacim. Looking at development of income. The like-for-like portfolio income increased by SEK 5 million, equivalent to 0.1%. The change in the like-for-like portfolio is mainly driven by indexation but offset by higher vacancies. The direct property costs for the like-for-like portfolio increased by SEK 14 million equivalent to 1.2%. Direct property costs decreased at the beginning of the year due to the warm winter but increased in the second quarter primarily due to the higher rental losses, which increased by SEK 17 million from SEK 8 million to SEK 25 million. However, overdue receivables still on low levels. Central administrative and property administrative costs increased by SEK 3 million equivalent to 1%. However, the increase in administrative costs are lower than salary indexation due to our ongoing cost review. On an aggregate level, NOI decreased by SEK 185 million with divestments, increasing vacancies and one-off insurance claims recorded during second quarter previous year as key drivers. Please note that current portfolio is still not in income numbers. Looking at renegotiations, prolongations and net leasing, renegotiation corresponding to an annual rent of SEK 135 million were conducted during the period with an average positive change in rent of 1%, limited investments on average to secure the renegotiated leases. Additionally, contracts with an annual rent of SEK 801 million were extended during the period with no change in terms, equivalent to 53% of total lease stock up for negotiation. We are, of course, not satisfied with the net leasing in the first quarter. Several large terminations and the single large bankruptcy led to a net leasing result of minus SEK 184 million for the first quarter. In the second quarter, net leasing has stabilized and amounts to SEK 2 million. We have signed several large leases in our projects and our gross leasing is at a high level, however, suffers from a large portion of terminations and more bankruptcies than average. The economic occupancy rate amounts to 90.3%, a decline of 1%. The decline is attributable to increasing vacancies corresponding to 0.6% and a general review of vacancy rents, which contributed in additional 0.4%. Several large leases has been signed during the second quarter. One of them in Gothenburg, Mölnlycke. We have leased out an entire building for 500 coworkers to Saab on a long lease. The building will be adapted for Saab's needs and completed in June 2026. The existing tenant will move to a smaller building also owned by Castellum and the total deal generates SEK 17 million in positive net leasing. We also have some positive development in Copenhagen, existing tenant Clever that had a running 12-month running lease was renegotiated to a 6-year contract with an increase of 500 square meters, total lease of 6,600 square meters, unchanged rent per square meter. In Jonkoping, now Werket is fully leased out. The Swedish Police Authority expands and leases an additional 7,700 square meters on a 6-year lease. Bill start in fourth quarter '25 and moving start of 2027 yearly rent value, SEK 23 million. Also in Gothenburg, our tenant Knightec after merger with Semcon leases, that high Building total area 9,288 square meters that will host 500 coworkers with a rental value of SEK 27 million per year. The deal proves that we succeed when we stick to our clients and support them in their development and offer modern offers in attractive locations. Moving over to rental income and net leasing. As mentioned, a slight positive net leasing due the quarter income continues being more stable over time, however, affected negatively by 2 years of divestments and a general slowdown in the economy. Acquisitions, ongoing and new projects will together grow rental income over time. Looking at property values. During the period, Castellum has written down property values with approximately SEK 1.15 billion, equivalent to minus 0.8%. And the value change is partly driven by the default of Northvolt, the fact that Burlöv will leave approximately 24,000 square meters in Sunnanå and generally lower cash flow expectations in our valuations due to a downward pressure on rental levels and/or increased TIs to uphold these levels in some of our markets. The valuation yield is in all assets, the same as the first quarter 2025 at 5.62%. Our projects continued to show positive value add. The acquisitions of 5 properties in Uppsala, Orebro, Linköping from Corem during the period was concluded at a discount to market value, which has been taken into account in the second quarter valuation. The investment volume in the Swedish real estate sector ended up to approximately SEK 36 billion in the second quarter 2025 compared with SEK 31 billion in 2024, according to Cushman & Wakefield. Segueing into the financial side of the business. as Joacim mentioned, we have refinanced approximately SEK 10 billion of secured debt during the quarter with an annual cost saving of around SEK 20 million. The strict majority of the refinancing was on a 5- or 10-year tenor. Spreads on new bank loans are in the range between 120 to 140 bps. Financial market is very good right now. Current spreads in the domestic market for a 3-year bond is at around 95 bps and for a 5- year bond around 130 bps. European market indicates 10 bps wider. Spreads on the banking system generally somewhat lower than in the bond market, especially in the long run. We received a Baa2 rating with stable outlook for Moody's during the quarter, and we also carry a BBB stable rating from S&P. We have increased the use of commercial papers during the quarter to reach almost SEK 3 billion, up from around 0 not long ago. Current credit spreads of commercial papers is only 45 bps on a 3-month tenor, relatively cheap money and good for our cash management. Average interest rate currently at 3.2%, down from 3.3% during the first quarter. We see a potential to further reduce the average interest rate in our debt portfolio in 2025 by refinancing loans and bonds on better terms. However, somewhat mitigated by some really, really well-priced swaps that will expire during the end of '25 and throughout '26. Loan-to-value now at 36.7%, somewhat increasing during the quarter due to acquisitions of the Corem portfolio and [indiscernible] acquisitions. ICR currently stable at 3.2x comfortable headroom against policy levels of the 3x. Average debt maturity currently at 4.6 years, including refinancing that was closed. In the beginning of July, the average debt maturity is close to 5 years. Average fixed interest term is stable at 3.6 years. We have entered new interest rate swaps during the quarter totaling SEK 1.9 billion. During the quarter, costs related to FX fixing of Entra have impacted financial net by approximately SEK 27 million, a direct effect of historically high interest rate differential between Norway and Sweden. Over to you, Joacim.
Joacim Sjoberg: Thank you, Jens. Well, Castellum works towards clear sustainability targets in the short and the long term to contribute to a sustainable development. Energy efficiency was minus 6% in the like-for-like rolling 12 months normalized portfolio. I'm very proud of the organization. We are actively engaged in reducing our climate impact through enhancing energy efficiency, which is the most effective way to conduct sustainability work. 68% of the property value is sustainability certified and 23% of our total electricity consumption is self-generated. The investments and transactions during the first half year. Quality is one of the most important drivers and rotation of our portfolio is an integral part of our value creation. Last year, we sold assets. And as Jens mentioned before, that has significantly affected our income. And we have since reallocated funds to projects but now also to acquisitions. The net investments of SEK 2.8 billion is in our fully owned portfolio. That does not include the investments we've done in Entra. We've invested SEK 1.3 billion, almost everything in projects, including new construction as well as extensions and renovations, and we have acquired for as Jens mentioned, SEK 1.7 billion. And then in addition to this, we have also acquired shares in Entra a total of NOK 383 million in Q1 and NOK 400 million in Q2, which translates into an indirect property acquisition of more than SEK 2 billion. This way, we are heading towards a full year of 2025, that may be close to a record year, saved for the acquisition of Kungsleden. We firmly believe that being countercyclical is the right thing to do in this market. We have the financial strength and we have the internal drive in the management to make the best of all opportunities. We have, of course, ongoing projects, 6 of the largest ongoing projects and 5 to be started. Larger project means investments larger than SEK 15 million. It's a mix of metropolitan areas and regional cities. The average occupancy rate for the ongoing project with a total -- the average occupancy rate is 93% for the ongoing projects, and we have a total rental value of SEK 171 million. Total investment volume is SEK 3.8 million, of which SEK 2.5 million remains to be invested. During Q2, we have decided to start new construction of 22,000 square meters of logistics in Vorlev in Malmö. The investment volume is SEK 291 million in total, of which SEK 238 million remains to be invested. That represents 0.18% of our asset value. We have a positive view on the micro locations in the local markets for both logistics and warehouses. As mentioned in Q2, we have continued to acquire shares in Entra and currently hold 37%. In total, this year, we have acquired for NOK 783 million at an average share price of NOK 118.72 or approximately 30% discount to Entra's net asset value. We think acquiring shares at these levels is a good long-term investment for us and also Entra's last report last week also showed strength again. As mentioned several times before, in this presentation in June, we acquired a high-quality portfolio of assets in Uppsala, Örebro, and Linköping. The total property value is SEK 1.7 billion. And as you know, we have a very strong market position in each of these 3 markets. And with this acquisition, it strengthens even further. We can have these properties without any newer employees, which makes great economics. It's a good mix of strong cash flow and a few opportunities in terms of some vacant space for our local staff to work with. The location of all the properties is great. It's right in the city center, very close to the train station and as can be seen from these maps, very near the properties that we already own. The leasable area is 56% office and 35% hotel. The largest tenant is Elite hotels and the second largest is the County Administrative Board i.e., [indiscernible] it's a 7.1-year [indiscernible] and the rental value is SEK 127 million, and the initial NOI is SEK 93 million. There's here some pictures of the properties in Orebro, and they're actually situated the right next to our existing building, forming a very handsome cluster of assets right by the Central Station in the group. And then some pictures from the properties in Uppsala. And just to mention that the notice from the [indiscernible] to move into another of our assets in Uppsala has been factored into the acquisition price because that was already known to us at least. So key takeaways, there's plenty of global uncertainty and the Nordic markets are not really accelerating as we want. There's still fundamentals for the Nordic economy to pick up, but there's -- it's more difficult to predict the development. The rental market is still stable in our regional cities. However, more challenging in the metropolitan areas and especially for office in Stockholm. After a disappointing Q1 negative net leasing figure, at least we are back on positive territory for this quarter, which we are very happy about. Our rock solid financial position gives us ample of room to maneuver, and it's still very good and even improving financing options. We are happy for the SEK 10 billion refinancing of bank debt in this quarter with improved credit margins. Finally, we are so satisfied being able to close the SEK 1.7 billion acquisition and adding these high-quality properties to our portfolio. As mentioned before, we have an extra general meeting on the 18th of July, and our interim report will be for the third quarter will be on the 23rd of October. Thank you.
Christoffer Stromback: Thank you, Joacim and Jens. Now it's time for questions. [Operator Instructions] The first question comes from Lars Norrby, SEB. Go ahead.
Lars Norrby: Well, starting off with value changes obviously, you had significantly higher negative value changes in the second quarter than in the first quarter. I think I've heard some explanations here AFRY being one of them. But Northvolt, remind you took the full hit to the net letting or net leasing number in Q1, but did still Northvolt have a negative effect on values in the second quarter? And what else is there out there explaining the higher level in Q2?
Jens Andersson: Lars, Jens here. The full effect on the valuation was taken during the first quarter. So the majority of the value chain is located in the Stockholm region. Some SEK 200 million relates to offering and 8 out of the 10 largest negative value chain is -- has been seen in the Stockholm market.
Joacim Sjoberg: And there's also a 0.4% change, which is related to the fact that we have done an overview of our vacancy rents.
Lars Norrby: Very good. Turning to net leasing, obviously, a return into black figures in the second quarter. You mentioned a number of new leases, Swedish Police, for Saab's, Scandic, Knightec. So what's on the negative side? Was it the renegotiation or with ABB robotics? Or what's the explanation for that? It still comes in close to zero.
Joacim Sjoberg: There is some significant terminations that happened during the quarter. But I mean it's -- there's quite a few of them.
Jens Andersson: No specific ones that should be mentioned. However, Stockholm region and Öresund has been more severely hit than other regions.
Lars Norrby: And then just a final question. You mentioned that AFRY is moving? But there's still a tenant hasn't affected your net leasing figures yet.
Joacim Sjoberg: No, we have not received the termination for that premises and they're still bound by the contract to last of September 2028.
Lars Norrby: So best guess, when will that termination come and hit the numbers?
Joacim Sjoberg: We actually don't know. But I mean, in all fairness, we know that they're moving. So from a management point of view, we are already working on how to fill that fantastic building right next to the highway with a very good location. So from a practical point of view, I realize you need to put that into your Excel sheet loss. But from a practical point of view, we are already working as if it was terminated.
Lars Norrby: And final one then, just in terms of contract value, how much is it? You mentioned this as a share of total turnover, but what is it in million roughly? Can you give a range?
Joacim Sjoberg: I mean it's -- the annual rent is SEK 93 million gross and then you can multiply that until the end of December 2028.
Christoffer Stromback: Thanks. As we take one question from the chat function from [ Martin Cartman ] Thank you for the presentation and taking my question. Are there any upcoming nearby lease maturities where you believe the risk of the tenant vacating is higher. You have negotiated 2 leases with ABB Robotics, are there more with a specific tenant that will need to be renegotiated?
Jens Andersson: Note that we have received notice of -- but in the portfolio, the size of ours, there's always both big and small business discussions going on. So there will be renegotiations and terminations, but there will also be new leases signed. The market is improving but discussions still take a very long time, and we don't foresee that to change anytime soon.
Christoffer Stromback: Next question from Jonathan, Goldman Sachs.
Jonathan Sacha Kownator: It's still a bit early on the hybrid, but just wanted to ask about your thinking there as to whether you refinance that early or you're planning to that run until the 5-year period?
Jens Andersson: Good question. Of course, we are looking into the hybrid. We are in discussions with our financial advisers how to handle it. And currently, the pricing is at around 5.75% higher than what it's running at today. So in all fairness, to keep it until the first call date could make some sense if you only look at it from a cash flow perspective. Looking at it from also a risk angle, it could be a good idea to actually proactively handle it beforehand, considering the EGM and the situation. Any practice move haven't been possible during the last few months. Let's see how things turn out after the summer, maybe we will come back and try to refinance it, but nothing has been decided yet.
Christoffer Stromback: And that was actually the last question for today. So thank you all for listening.